Operator: Good day, ladies and gentlemen. Welcome to the Stratasys’ First Quarter 2019 Financial Results Call. At this time all participants are in a listen-only mode. [Operator Instructions] As a remainder today’s conference is being recorded. I would like to turn the call over to the Vice President of Investor Relations. Sir, you may begin.
Yonah Lloyd: Actually it’s Yonah Lloyd. Good morning, everyone, and thank you for joining us to discuss our 2019 first quarter financial results. On the call with us today are Elan Jaglom, Interim CEO, David Reis, Vice-Chairman and member of our Board’s Oversight Committee, and Lilach Payorski, CFO. David is joining us remotely by phone. I remind you that access to today’s call, including the prepared slide presentation, is available online at the web address provided in our press release. In addition, a replay of today’s call, including access to the slide presentation, will also be available, and can be accessed through the Investor Relations section of our website. Please note that some of the information you will hear during our discussion today will consist of forward-looking statements including, without limitation, those regarding our expectations as to our future revenue, gross margin, operating expenses, taxes and other future financial performance, and our expectations for our business outlook. All statements that speak to future performance, events, expectations or results are forward-looking statements. Actual results or trends could differ materially from our forecast. For risks that could cause actual results to be materially different from those set forth in forward-looking statements, please refer to the risk factors discussed in Stratasys’ Annual Report on Form 20-F for the 2018 year, as well as our report on Form 6-K and the related press release concerning our earnings for the first quarter of 2019, the latter two of which we are filing with, or furnishing to the SEC today. Stratasys assumes no obligation to update any forward-looking statements or information which speak as of their respective dates. As in previous quarters, today’s call will include GAAP and non-GAAP financial measures. The non-GAAP financial measures should be read in combination with our GAAP metrics to evaluate our performance. Certain non-GAAP to GAAP reconciliations are provided in the table contained in our slide presentation and in today’s press release. Now I would like to turn the call over to our Interim CEO, Elan Jaglom. Elan?
Elan Jaglom: Thank you, Yonah. Good morning everyone, and thank you for joining today’s call. We are pleased with our first quarter top line results, and particularly encouraged by the continuation of the strong performance we have been seeing in North America over the last several quarters, demonstrating steady and continuing adoption of our systems and materials in our largest market. Overall, revenue was unfavorably impacted relative to the corresponding previous year period by unfavorable changes to foreign exchange rates. We are also pleased with our non-GAAP profitability in the first quarter, as we continue to show our commitment to control expenses and deliver shareholders value. We are excited about our recent new product introductions, such as the F120 and V650 printers, which we believe will expand our addressable markets, and we look forward to sharing more about our portfolio roadmap later in the year. I will return later in the call to provide an update on our search for a new Chief Executive Officer, and David will provide more details regarding the quarter and recent product announcements, but first I will turn the call over to our CFO, Lilach Payorski, who will review the details of our financial results. Lilach?
Lilach Payorski: Thank you, Elan, and good morning, everyone. Total revenue in the first quarter was $155.3 million compared to $153.8 million for the same period last year. After adjusting for the sales of our divested entities during 2018, on a like-for-like basis total revenue was up 3% for the first quarter, and 5% after also adjusting for foreign-currency exchange rate changes. GAAP operating loss for the first quarter was $3.3 million, compared to a loss of $6.5 million for the same period last year. Non-GAAP operating income for the first quarter was $6.8 million, compared to non-GAAP operating income of $4.9 million for the same period last year. GAAP net loss for the quarter was $2.3 million, or $0.04 per diluted share, compared to the net loss of $13.0 million, or $0.24 per diluted share, for the same period last year. Non-GAAP net income for the quarter was $5.7 million, or $0.10 per diluted share, compared to non-GAAP net income of $2.7 million, or $0.05 per diluted share, reported for the same period last year. Product revenue in the first quarter was $105.1 million, an increase of 1% compared to the same period last year. Excluding the divested entities, product revenue increased by 4%. Within product revenue, system revenue for the quarter was up 1%, and increased by 4% after adjusting for the divested entities, compared to the same period last year. Consumables revenue for the quarter increased by 1% compared to the same period last year and increased by 3% after excluding the divested entities. Services revenue in the first quarter was $50.2 million, an increase of 1% compared to the same period last year. The exclusion of the divested entities had no meaningful impact on the overall services revenue growth rate. Within services revenue, customer support revenue, increased by 1% compared to the same period last year, and 2% excluding divested entities. GAAP gross margin was 49.2% for the quarter, unchanged from the same period last year. Non-GAAP gross margin was 52% for the first quarter, compared to 52.8% for the same period last year, driven by the mix of revenue sources. GAAP operating expenses decreased by 3% to $79.7 million for the first quarter, as compared to the same period last year, primarily due to the exclusion of our divested entities. Non-GAAP operating expenses decreased by 3% to $73.9 million for the first quarter as compared to the same period last year, driven by a continued focus on administrative cost controls, R&D project timing and the impact of divestments. The Company generated $4.6 million of cash from operations during the first quarter, as compared to $27.1 million of cash generated in the first quarter last year. The reduced cash generation compared to last year is primarily due to timing of tax payments, and proactive steps to increase inventory levels in order to improve fulfillment time and support product demand. We ended the first quarter with $367.8 million in cash and cash equivalents, compared to $393.2 million at the end of the fourth quarter of 2018. The decrease in our cash balance relative to the prior quarter is primarily due to a mortgage repayment. To recap, we are pleased with our first quarter results and encouraged by the continuation of the strong performance we have been seeing in North America over the last several quarters in both systems and materials. Our results reflect a continuation of strong non-GAAP earnings, demonstrating the success of our ongoing effort to maintain operational discipline and expense management. We continue to enjoy a healthy balance sheet and are well positioned to take advantage of opportunities moving forward. I would now like to turn the call back over to Elan.
Elan Jaglom: Thank you, Lilach. Our search for a new CEO is moving ahead and we continue our dialogue with candidates to drive our strategy and vision forward. While we had hoped to finalize the process by now, we are happy to have a strong, experienced oversight committee reporting to me that has done an excellent job advising our team during the interim period. We believe that the diligence and careful consideration we are taking during the search process we will reward us once we make a decision and we look forward to completing the process and announcing our new CEO. I would now like to ask David to provide more detailed information regarding the results of the quarter, David?
David Reis: Thank you, Elan. Our first quarter results reflect a continuation of the trends we observed in the fourth quarter of last year, with strong hardware and consumables growth in the U.S., our largest market. In the U.S., we had a very good quarter for our high-end Fortus FDM production systems, driven in part through continued adoption of aerospace OEMs. As we have mentioned before, our high-end platforms generate more utilization per unit, which we believe will lead to accelerated future annuity streams from materials and services. The U.S. also saw a strong quarter for our F123 platform, with continued interest in our new Elastomer TPU material-enabled edition. Overall, we continue to see increased adoption of our target verticals of aerospace, automotive, and healthcare and dental. We are pleased with the early traction we are seeing from our new products launched last year, including the F380 Carbon Fiber Edition, and the previously mentioned Elastomer TPU-enabled version of our F123 Printer. We also began shipping the new MakerBot Method at the end of the first quarter, after showing strong pre-order demand. Recently, at the Additive Manufacturing User Group conference, we made several announcements. We introduced the new F120 3D Printer, an industrial-grade system targeting customers to additive manufacturing. The F120 offers the benefits of our F123 platform at an affordable price, and provides reliable, accurate, and quality 3D printing specifically designed for designers, engineers and educators. The market response has been very positive, and we look forward to shipping the F120 later this year. We also showcased our new V650 Flex Stereolithography 3D Printer, our first commercially-available entry into this marketplace that combines the power of a large-scale system with an open, configurable environment that is fine-tuned across a broad range of available resins. The V650 gives customers greater accuracy, choice, and lower costs for 3D printed prototyping and part development. Select DSM resins tailored for specific applications will be commercially available directly from Stratasys. Interest has been strong, and we expect to place units at customer sites throughout the year and beyond. Finally, we announced our collaboration with Pantone – the authority on professional color standards and digital solutions across the design industry. The Stratasys J750 and J212 Printers are now the first and only 3D printing systems with technology officially recognized as Pantone-Validated, allowing for synchronized color communication between designers, modelers and manufacturers. We expect to continue to see demand for our high-end PolyJet solutions from industries that require high levels of realism, including the consumer-packaged goods and medical segments. These represent just the beginning of a series of product launches and announcements that we plan to make over the next 18 months and beyond, that we believe, collectively will meaningfully expand our portfolio and contribute to accelerated growth beginning in 2020. In addition to upcoming new innovations from our FDM and PolyJet portfolios, we expect to increase our manufacturing-focused materials offerings, add additional technologies that expand our addressable markets, and pursue collaborations that enhance our abilities to enter into high requirement industries and applications. I would like to briefly mention a significant milestone that we achieved in our key vertical segment of aerospace. Recently, the National Institute of Aviation Research, or NIAR, published a National Center for Advanced Materials Performance material specification, process specification and extensive test and analysis reports, which document the performance, or the design allowables, achievable with a Fortus 900mc and ULTEM 9085 in our Aircraft Interior Solution configuration. While aerospace companies often develop their own processes and standards, this specification document makes it easier for others in industry and supply chain to leverage our technology with a fraction of the testing, qualification and investment needed previously, and without the risk of an unknown outcome. The only way to meet this standard is to run ULTEM from Stratasys on a qualified Fortus production system. We are extremely excited about reaching this milestone and look forward to the continued adoption of our technology for advanced manufacturing applications in aerospace. I would now like to turn the call over to our VP of Investor Relations, Yonah Lloyd, who will provide greater details on our 2019 financial guidance. Yonah?
Yonah Lloyd: Thank you, David. We are providing full year guidance for 2019 as follows: revenue guidance of $670 million to $700 million. GAAP net loss of $22 million to $12 million, or $0.40 to $0.22 per diluted share. Non-GAAP net income of $30 million to $38 million, or $0.55 to $0.70 per diluted share. Non-GAAP operating margin of 5.5% to 6.5%. Capital expenditures projected at $45 million to $60 million. Our guidance reflects growth combined with a continued showing of operational efficiency, as our profitability will increase relative to the top-line. Non-GAAP earnings guidance excludes $32 million of projected amortization of intangible assets; $20 million to $22 million of share-based compensation expense; reorganization related and other expenses of $1 million to $2 million; and includes tax adjustments of $3 million to $4 million on the above non-GAAP items. The estimated non-GAAP tax rate for 2019 is impacted by the ongoing non-cash valuation allowance on deferred tax assets that we expect to record throughout the year on U.S. losses. Given the expected ongoing negative impact of not recording a tax benefit on U.S. tax losses on our net income, as well as significant quarter-to-quarter variability in our non-GAAP tax rate, the company believes non-GAAP operating income is the best measure of our performance. Appropriate reconciliations between GAAP and non-GAAP financial measures are provided in a table at the end of our press release and slide presentation, with itemized detail concerning the non-GAAP financial measures. And operator, now if you would, please open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Shannon Cross with Cross Research. Your line is open.
Shannon Cross: Thank you very much for taking my question. I guess, what I’m curious about demand and what you’re hearing from customers in that, do you think that some of the improvement in product demand is because customers have sort of gotten to full utilization of products, maybe they bought a couple of years ago and that we just sort of had a pause in the prior year or is there more of a shift to using your machines for small manufacturing jobs. Just trying to understand, especially North America, what’s driving some of the improvement and how sustainable you think it is? And then I have a follow-up. Thank you.
David Reis: Lilach, I’ll take this question. Hi, it’s David Reis, good morning. I think that in the previous few years, we introduced a few new and interesting technologies, especially in the manufacturing segment, the adoption it takes time. Now, as we progress, we’ve said many times in the past, we expect adoption to accelerate and part of the increased demand can be attributed to this fact. Again, I cannot disclose a precise number, but we did see a very significant year-over-year growth in U.S. in aerospace, for example. Likewise when you look on our PolyJet line of business introduction a few years ago, the extremely high quality, high realism technology, I think pushed customers to experiment and learn how to use this technology. And as they are experiencing, gaining more knowledge and confidence, I think demand increased and utilization increased in the PolyJet.
Shannon Cross: Okay. And then just that, if you can give any more clarity on the CEO search, just kind of curious as to what specifically is taking long time to figure out, and, or just any, anything you can give us on that be curious. Thank you.
Elan Jaglom: Okay. So, industry does not have a wide pool of established leaders to pull from. So, we are looking outside their industry, which adds to the complexity of our search 4% potential candidate. We are carefully considering candidates and meanwhile we are continued to execute our plan and look forward to bringing the right candidate at the right time.
Shannon Cross: Okay. Thank you.
Operator: Thank you. And the next question comes from the line of Greg Palm with Craig-Hallum Capital. Your line is open.
Danny Eggerichs: Hi Guys, this is actually Danny Eggerichs on for Greg Palm today. Just a couple from me. It sounds like FX was a decent size impact in the quarter. Is there any way that you could break that out a little further, either by a segment or a geography?
Lilach Payorski: Good morning, Danny. Yes. Definitely, it impacts this quarter, because of the strength of the U.S. dollar, we impacted about $3 million and mainly in the EMEA on a like-to-like basis, excluding the diversified entity and foreign exchange impact. Our total revenue grew 5%, and hardware actually grew 7% if you take other FX, consumable 5% and services grew 2% and the customer support grew 4.5%. So, definitely, the foreign exchange impact our results significantly this quarter.
Danny Eggerichs: Great. That’s some great color. And then just one more. It seems within the additive market that digital dentistry seems to, really be kind of a rapid adoption. Do you have any positioning within the digital dentistry market?
Lilach Payorski: Yes. We are very active in three areas in which PolyJet technology is suitable, we are very active in what it’s called recreating a template for the creation of liners and we have few other applications, which are relating to not the creation of crowns, but the fitting of crowns over stone models and basically, between those two segments that we are very, very active.
Danny Eggerichs: Okay, great. Thanks for answering the questions guys.
Operator: Thank you. And our next question comes from the line of Brian Drab with William Blair. Your line is open.
Brian Drab: okay, thank you. This is Brian Drab from William Blair. I was wondering if you could just give us some help modeling the margins. first, on gross margin, it’s been rather steady at around 52%. How do you foresee that progressing through the year?
Lilach Payorski: good morning, Brian. Yes, it was relatively steady at 152 and this is probably what we expect going forward as well. obviously, in the gross margin, there is a lot of vectors, specifically this quarter we also impacted by the foreign exchange, because our cost of products is relatively stable, and if the revenue is impacted by the foreign exchange, it does have some impact, but still we believe that it’s around the same level of the 52-ish that we saw in the last year.
Brian Drab: Okay, thanks. And then on the operating expense that that’s stepped down materially from the fourth quarter and the first quarter, I guess mainly with seasonality, but could you talk about what we should expect in terms of the dollar level of OpEx collectively R&D and SG&A for the second, third, fourth quarter, what kind of run rate can you give us any reference point that we should use as a run rate for OpEx.
Lilach Payorski: Yes. So, in terms of the operation – operating expenses, there is obviously seasonality between the quarter like you mentioned a bit tied to the revenue performance, whether between Q4 and Q1, where there were the seasonality of the revenue. So obviously, we have a costing the same market that’s attached to that. So, this will be changed as we look at the quarter going forward, where we have usually, the first quarter is the how highest revenue, then the second highest is the second quarter and then we will have the expense aligned to that. On top of this, we do see some may changes related to R&D investment based on the project site investment cycle time. Specifically, this quarter, we saw, we have a relatively low R&D level, but we do expect to have R&D costs going up in the following quarter based on the project timing.
Brian Drab: Okay. So, if I look at the quarters year-over-year for, you’re spending an OpEx, is it fair to say that it, it’s flat for the balance of the year or maybe up slightly for the balance of the year, is that – is there any way you could help with that modeling?
Lilach Payorski: So first of all, when you compare Q1, this quarter to last year, obviously, there is the impact of the divested entities. So, once you exclude that, yes, it’s relatively – it’s relatively similar and going forward, we expect to see a slightly increase in our R&D expenses based on the project timing and we maintain relatively similar operational expenses.
Brian Drab: Okay. Thanks very much.
Operator: Thank you. And our following question comes from Troy Jensen with Piper. your line is open.
Troy Jensen: Hello. Congrats on the nice results and all the new product announcements.
Elan Jaglom: Thanks, Troy.
Troy Jensen: Great. So David, I guess I want to share with you and V650, I know it’s an open platform, right? And you’re partnering with the exam on the materials. So, you just talk about like the cost of materials and a proprietary machine, and how much less expensive your materials with DSM will be. And just trying to figure out kind of profitability mark, they’re going to make any of these materials going forward?
Elan Jaglom: So, hi, Troy. Good morning. So, first of all, it is an open system. Nevertheless, we will be saying clearly that it was well configured to certain materials, which we are going to supply from DMS. And again, I can give you execute indication comparing the cost material, but it is going to be lower compared to what is used today in the markets. Okay, this is what I can see for sure.
Troy Jensen: Yes. All right. Perfect. And just to follow up on materials, I think 1% growth this year is a little bit mark, you normalize, the FX stuff. Maybe, I remember I think last quarter was maybe a little bit below what we thought too. So, just your thoughts on what’s going on in the material of line.
Elan Jaglom: So again, I think that Lilach said earlier, you do need to take into consideration the foreign exchange, which was the very significant this quarter. So if you take this into consideration, consumable did grow 5% this quarter. Okay. So, it’s – I think you need to consider it. So, it’s 5%.
Troy Jensen: Okay.
Elan Jaglom: In real numbers, okay.
Troy Jensen: Okay. So, kind of mid-to-high single digit is kind of what you think is materials to that.
Elan Jaglom: Again, sorry, can you repeat exactly what made you the indicators?
Troy Jensen: I just said, I have always said kind of high single-digit growth for materials is something that should be able to access for awhile until we move into my production applications, right.
Elan Jaglom: I think it’s a reasonable assumption. again, the network consumables is there’s a trend of customers moving to more sophisticated, more high performance materials. On the other hand, where machines, we changed the market for many, many years and some of them are still being used. I think that on average, what you’re indicating is reasonable, and when like you said, we’re going to move to more productions systems and they will have the higher relative count in our ID numbers might be higher.
Troy Jensen: Okay. One more question and I’ll see the floor. Can you just give us an update that maybe timing update on your partnership with Xaar 3D and when you guys will be launching in a high speed centering products.
Elan Jaglom: Again, I don’t want to give any indication when to pull the VB is going to be launched. The focusing is planned. R&D is doing good progress. The product looks promising and when it’s going to be ready and available, we’re definitely going to announce it.
Troy Jensen: Okay. All right. Keep up the good work.
Operator: Thank you. And our following question comes from David Ryzhik with Susquehanna. Your line is open.
David Ryzhik: Hi, thanks so much for taking the question. Lilach, would you be able to maybe update us on the seasonality for the year? Do you still expect second half to be 51% or 53.5% of annual revenue and I have a followup.
Lilach Payorski: Hi, David. Good morning. Yes. We do expect to see, to be within the same range that we communicated last quarter 51% to 53.5% revenue in the second half and we do expect the growth in every quarter after excluding the divested entities.
David Ryzhik: Okay. And then you mentioned increased inventory levels to support product demand. Now, what signals are you getting from customers? Is this mainly for North America high-end FDM or is this for other product areas? I realize you have the method started shipping in Q1, you have some other new products, just would love some color on what exactly type of inventory you’re building for anticipated demand.
Lilach Payorski: Yes. So, definitely it’s touching a couple of area. One is building up inventory to support those additional new product that’s coming into the market. And also when we are more and more selling our product to manufacturing, the SLA – the required SLAs will have material available. It’s increasing. So we see more and more demand in the region, mainly also on the consumable aspect to have demand 24 – like immediately 24/7 demand for availability for product. And we are putting in place action item to make sure that we have ready available inventory to address it.
David Ryzhik: Okay. Thanks so much.
Operator: Thank you. And our next question comes from the line of Jim Ricchiuti with Needham & Company. Your line is open.
Mike Cikos: Hi team, this is Mike Cikos on for Jim Ricchiuti. Just following up on a couple of OpEx questions that were asked earlier in the call. Wanted to fine tune the R&D comments. When you were saying that the R&D is expected to be up year-on-year, are you looking at that on an absolute dollar basis or as a percentage of revenue?
Lilach Payorski: We expect to have R&D going up in absolute dollar as compared to the rate that you see that we have this quarter, okay. And also year-over-year is probably relatively to what we saw last years.
Mike Cikos: Thanks that’s helpful. And then just another quick question. Regarding the new products that you guys are bringing to market, is there anything that we should be mindful of when we’re looking at sales and marketing expense for the rest of the year? Whether it’s additional trade shows or product launch expenses, how would you characterize the flow of those additional costs?
David Reis: I’ll take that. We’re doing lot of marketing and sales efforts regardless of those products. Yes, for sure, every launch of new product has some associated cost attached to it but it’s not something which is significant in the overall picture of marketing and sales expenses during 2019.
Mike Cikos: Okay. And one more if I may, if you guys could just characterize the demand environment you’re seeing by geography that would be beneficial.
David Reis: Yes, I think we – Lilach, do you want me to take it? I’ll take it, okay. Like we mentioned earlier, we see a strong demand and substantially growth in our North American operation. Europe is operating along our plan. We do see some slower advance in Asia, mainly around the adoption of production systems. If you compare it with the industrial countries in Europe and in the U.S. So if you compare the territories, again, Asia is little bit slower and mainly because of the slower adoption of production system, but we also I think started in Asia later. So I’m sure that the coming years are good to catch up.
Mike Cikos: Terrific. Thank you very much team.
Operator: Thank you. And our last question comes from the line of Ananda Baruah with Loop Capital. Your line is open.
Ananda Baruah: Hi, good morning guys or good afternoon and thanks for taking my question. Congrats on solid results and some stability here. A couple if I could. I guess the first is really more of a follow-up or clarification, Lilach on the conversation you’re having with David. When you’re going through some of the inventory, is that – was that an inventory-specific related response or is that related to demand that you’re seeing in North America as well? And then I have a follow-up after that.
Lilach Payorski: Yes, it’s both definitely. Obviously, we are increasing our inventory level based on our future expectations for demand. So it’s definitely addressing the demand that we see in North America and of course also at the globe. And for sure, we want to be a – we see the increased demand from our customers to have those consumable available immediately. And we believe that this is the key – the utilization of our – using our machines, it’s the key and we need to make sure that we have everything available for them immediately.
Ananda Baruah: Excellent, excellent. And are there any other areas in North America where you’re seeing the performance strengthen? I think what I’ve heard you guys talk to on the call so far is aerospace and manufacturing. Is there a distinction between those two? Sounds like that kind of method sales are off to a pretty good start and I think definitely you spoke into also. Is there anything in addition to that like traditional prototyping or any of the other? And one, two, three you talked about but any of the other product areas, are those meaningfully contributing to the strength that you’re seeing in North America?
David Reis: Yes.
Ananda Baruah: Well, is there anything – what are all the meaningful impacts in North America aside from aerospace?
David Reis: Industries, you mean?
Ananda Baruah: In anything, as you would see it, as you would characterize it, as being meaningful that are contributing to...
David Reis: So what – what contributed to the strong growth in North America this quarter is mainly the high-end FDM production systems and the Shared Office systems. So both grew nicely this quarter.
Ananda Baruah: Awesome. That’s really helpful. That’s awesome, thanks. And then just to wrap up. In the slides, you’ve talked about having a healthy balance sheet, well positioned to take advantage of opportunities moving forward. That sounds like kind of an M&A narrative. Is that accurate? And then if you could just kind of talk – if it is accurate talk to, so how you’re thinking about M&A at this point going forward? And that’s it for me. Thanks.
David Reis: Okay. So, like you said, we have a strong balance sheet and enough cash. We are constantly looking for opportunities. Nevertheless, if and when we’re going to move it’s going to be after targets which really support our strategy. In this point of time, there’s nothing below substantial on the table, if and when obviously we’re going to announce it.
Ananda Baruah: That’s very helpful. I will sneak one more in. Any – on the last call, you guys didn’t want to get into – yes, because it was early talking, providing much, much detail on new products that you’re going to be introducing through the year, though you are saying you have sort of good hope for those products. Would you be willing to provide any more detail on this call around the products that you’re going to introduce this year? Thanks.
David Reis: Yes, I think we said very clearly on the script earlier we expect in the next – in the coming years, it’s some will come early, some are going to come later, new products both based on our FDM technology, PolyJet technology and other technologies that we already announced which are going to enhance our capabilities. I think Troy asked about Xaar collaboration. We have our metal systems that was announced. So all those products are being developed into different stages. I mentioned on the previous call, we have a very substantial R&D efforts, very focused, very well financed. Nevertheless R&D is not guarantee but like we said earlier, in the coming 18 to 24 months, you should expect from us everything will go well to hear about several product announcements, which I think would be really very impactful on our future.
Ananda Baruah: That’s really helpful. Thanks a lot. Appreciate it.
Operator: Thank you. And our last question comes from Paul Coster with JPMorgan. Your line is open.
Paul Chung: Hi. This is Paul Chung on for Coster. Thanks for taking my question. So just looking at your systems margins, they’re holding up pretty well so I see you’re kind of staying disciplined on pricing but your overall revenue growth rate remains pressured, growing at below industry CAGR. So just the question is what’s been your strategy to defend your market share, get it back and do you need to sacrifice kind of more on prices to get top-line moving?
David Reis: Hi, Paul. It’s David. Good morning. First of all, you can see that our gross margin is stable, okay. So we don’t see any dramatic changes in our overall ASPs, which means that customer appreciate the value of what we’re selling and usually willing to pay for what it’s worth, okay. And going forward – going back to my previous answer, we believe, we have probably the strongest channel in the industry, the best channel. And as we’re going to introduce new product, some of them are going to come out in nice margins, which will allow us to both keep hopefully a good level of profitability or gross margin and allow us to sustain our market share.
Paul Chung: Okay great. And then I think I may have missed it but on your services margin decline this quarter, is that kind of temporary or is this some kind of structural step down?
David Reis: Lilach.
Lilach Payorski: Yes, customer support obviously is made of the various aspect, warranty service contract and timing and material and can fluctuate in the product mix here – can have a impact as well. So as well we’ve been impacted by the foreign exchange. We see a relatively stable cost from dollar perspective. And we believe that the customer support will return to a more typical growth rate moving forward. So we do not view this decline – slightly decline in gross margin of customer support to be the trend going forward.
Paul Chung: Okay, thanks. And then last question on free cash flow, was a bit light this quarter, obviously, given your inventory levels that you mentioned but for the year, how should we think about overall cash from operations? Is it going to be somewhere in the mid-60s, as you kind of harvest that inventory? And then on CapEx, for this year you mentioned some HQ spending is driving some of that increase but what’s more your kind of normalized level of CapEx? Thank you.
Lilach Payorski: This quarter, we do see the impact of increasing inventory and we do anticipated to see it also in the next quarter or so. And it will impact overall the cash flow for the year. Bear in mind that this quarter we also had the impact by the tax payment that we do not anticipated to see going forward significantly, as we saw in Q1. So overall those are kind of the major factor that impact this quarter. And I would probably would see something in the range of the – like you mentioned like about $50 million for the year.
Operator: Thank you. I would now like to turn the call back to Elan Jaglom for closing remarks.
Elan Jaglom: Thank you for joining today’s call. We look forward to meeting those of you that will attend the Rapid TCT Conference later this month in Detroit, and to speaking with all of you again next quarter. Thank you.
Operator: Ladies and gentlemen. Thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone have a great day.